Operator: Good morning. My name is Jody, and I will be your conference operator. At this time, I would like to welcome everyone to the Valmont Industries, Inc. Third Quarter Earnings Call. [Operator Instructions] I would now like to turn the conference over to Mr. Jeff Laudin, Manager, Investor Relation. Please go ahead.
Jeffrey Laudin: Thank you, Jody, and welcome to the Valmont Industries' Third Quarter 2013 Earnings Conference Call. With me today are Mogens Bay, Chairman and Chief Executive Officer; Terry McClain, Executive Vice President and Chief Financial Officer; and Mark Jaksich, Vice President and Corporate Controller. Before we begin, please note this conference call is subject to our disclosure on forward-looking statements, which applies to today's discussion and will be read in full at the end of the call. The instructions for accessing the replay of the call can be found in our press release. I would now like to turn the floor over to our Chairman and Chief Executive Officer, Mogens Bay.
Mogens C. Bay: Thank you, Jeff, and good morning, everyone. Thank you for joining us. I take it that you all have read the press release, so my commentary will focus on quarterly highlights and general trends in each of our businesses. The increase in third quarter sales was driven by gains in Irrigation and Utility Support Structures segments and recent acquisitions made in Coatings and Engineered Infrastructure Products. The combination of mix, slightly lower input costs and an improved pricing environment in certain businesses resulted in higher gross profit margins. The quality of earnings continue to improve. Leverage on a modest sales improvement resulted in a 22% operating income increase to 14.1% of sales. This is a testament to both the diversification and earnings power of our businesses. Earnings per share met our expectations, save for the onetime $8.3 million tax expense that lowered diluted earnings by $0.31 per share. A decrease in the corporate tax rate in the U.K. necessitated the reduction in our deferred tax asset, thus, an increase in deferred tax expense. This should have a positive impact on taxes going forward. Before I turn to the segment results, I want to make a few general comments. Valmont today is a strong company with a great future. In the face of weak global lighting and traffic markets, we have lowered our cost structure and strengthened our competitive position. Our Utility business continues to participate in the substantial build-out of this nation's electrical transmission grid. In support of the utility demand, we have added physical capacity and human capability while strengthening our market-leading position. The Valley name is recognized around the world as the premier brand of best-in-class dealer network in mechanized irrigation. We've been successful in building a global Coatings business with consistent profitability and return characteristics. We've been guided by a focused growth strategy that has been well executed by our teams. Our balance sheet is solid. With discipline, patience and a key eye on return on invested capital, we should have actionable deals in our acquisition pipeline to further achieve global growth. In the short term, we are still in cyclical markets with good geographic and product line diversification. In the long term, the forward movement of population growth, improved diets will require increased food production. Sustainable economic growth and development requires more investment in infrastructure. It's clear to us that the world will need more Valmont products going forward. We have prepared for and looking forward to participating in that goal. Let me now turn to the results by segment. In Irrigation segment, although crop prices were lower this summer, the outlook for high farm income resulted in substantially increased irrigation sales, even above last year's record. Farmer sentiment remains strong as the value proposition for pivots remain compelling even at current crop prices. Historically, high farm land value has further enhanced global wealth and, therefore, purchasing power. Last year's drought resulted in an earlier-than-normal harvest, expanding our fall selling season. This year's Northern Hemisphere harvest is following a more traditional pattern. As a result, the later harvest will keep farmers busy in the field, so it's unlikely we will meet last year's record fourth quarter results. Today, farmer sentiment remains positive. How this and factors influencing crop production were transferred into sales next year remain to be seen. In our Utility business, sales exceeded last year's record third quarter. As you know, sales can be lumpy when large projects move around from one quarter to the next. As an example, this year, some customers asked us to delay third quarter shipments onto the fourth quarter. Given new capacity coming online in the fourth quarter, solid backlogs and shipments of deferred orders from the third quarter, the fourth quarter for Utility is shaping up to be our largest ever. Our expectations are for Utility sales to grow in both 2014 and again in 2015. Third quarter sales growth in the Engineered Infrastructure Products segment reflects the Locker acquisition and stronger North American wireless markets. Sales in European markets were flat, and the Asia Pacific region sales declined, largely reflecting a weaker Australian currency and economy. The contribution of acquisitions to improve productivity and lower cost structures in North America and Europe led to segment operating income as a percentage of sales of 9.9%. We are pleased to see our efforts to reduce costs and improve productivity translating into better performance in light of continued market headwinds in some regions. Coatings sales increased due to the contribution from recent acquisitions and improved internal demand. This more than offset lower Asia Pacific results. The operating characteristics of this business are effective, and we look forward to expand our Coatings platform over time. Turning to other financial measures, the impact of currency translation on operating income was a negative $2 million in the quarter. Third quarter corporate expense reflects planned expenses necessary to support our expanding global footprint. Depreciation and amortization for the quarter was $19 million, and capital expenditures were $21 million. For 2013, we expect depreciation and amortization of about $75 million and capital spending of approximately $100 million, as we invest in capacity to support future business growth, productivity improvements and maintenance projects. We generated cash flow of around $50 million during the quarter, resulting in a cash balance of $543 million. Looking to the fourth quarter, we expect record results for the quarter and year. At this time, we expect diluted earnings per share of approximately $11, even after the impact of the third quarter increased tax expense. We will now take your questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Arnie Ursaner from CJS Securities.
Arnold Ursaner - CJS Securities, Inc.: Mogens, in looking at fourth quarter in the Utility segment, $253 million would be a record revenue, but that would be flat year-over-year and you'd have added $100 million of capacity. So I know you use the word record, but maybe you can give us a little more feel for what your revenue and earnings expectations are for Utility and how much of your 2014 order book do you believe is already filled.
Mogens C. Bay: Well, we expect our fourth quarter Utility segment to be well over the $259 million that you talked about. When it comes to going into next year, we have a good backlog already in place. We have good conversations with our customers, and that gives us the confidence that we'll continue to see growth next year.
Arnold Ursaner - CJS Securities, Inc.: Any sense -- I know you don't provide your backlog until February, but any sense of how much of the order book is filled at this stage?
Mogens C. Bay: Yes.
Arnold Ursaner - CJS Securities, Inc.: Okay. My final question is on your balance sheet. You -- we've obviously followed you a long time. You've previously talked about being very comfortable in a 40% net debt-to-capital ratio. You're nowhere near that now. You have dramatically sizable firepower to do acquisitions or share buybacks. How do you view your balance sheet as an offensive weapon at this point?
Mogens C. Bay: Well, clearly, as you say, we have good cash position. We have great leverage capabilities while still staying conservatively eager. But we just keep our eye on making sure that when we do make acquisitions, we really do need to see a quick route to beating our cost of capital, which we currently look at being about 8.5% after tax. It's easy, relatively, to make an acquisition today and have good EPS improvement, but that's not the test that we use. So we have a very active acquisition pipeline, but as you know, predicting when or if any particular opportunity may materialize is very difficult. We look for acquisitions that are fairly small in the Coatings business up to multi-hundred-million-dollar acquisitions. So at this point of time, we are happy that we have this firepower, and we hope we'll find a good opportunity to use some of it.
Operator: Your next question comes from the line of Nathan Jones from Stifel, Nicolaus.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Mogens, you've said you expect 2014 Utility revenue to grow over 2013. Do you expect the industry spending to grow in 2014 over 2013 or do you expect to compete for share in the industry to grow your revenue in 2014?
Mogens C. Bay: Looking at what I -- looking at what we see now, I'd expect a little bit of both because we have had capacity constraints because we've been ramping up so fast. We have more capacity coming online here in the fourth quarter, getting ready for next year. We are starting up our new facility in Tulsa. We are ramping up our facility in Columbus, Nebraska. So I think that our growth next year will be a combination of the 2 avenues you talked about.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Do you expect the industry -- I know the industry has pretty much been capacity constrained for the last couple of years. You've been able to fill that capacity as fast as you've been building it. Do expect that to continue to be the case in 2014 or do you expect more of a balance in supply and demand next year?
Mogens C. Bay: Well, I would guess, as this industry -- I mean, the industry probably can't continue to grow at this speed we've seen the last few years, so at some point of time, there's going to be more balance. Does that mean that our quality of earnings will decline? I don't know, but I would say the opportunities to take outsourced projects or products in-house and maybe we can work on profitability improvement that way. So I'm not -- I still expect our quality of earnings in that business going into next and the following year to be somewhere between 15% and 20% OP.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Okay, I guess that's what I was trying to get at with do you think you can hold margins at the level in '14 that you're expecting to see in 2013.
Mogens C. Bay: Currently, that's what we expect.
Operator: Your next question comes from the line of Brian Drab from William Blair.
Brian Drab - William Blair & Company L.L.C., Research Division: As you look forward to 2014 in the Utility business, looking back in my notes from the last quarter's call and you mentioned strength in Canada in 2014, you mentioned the rebound in International business in 2014. Can you give us a feeling for, if you're looking at these 3 categories, Canada, other international and domestic, where you expect to see -- kind of rank order the growth rates that you expect to see in those regions?
Mogens C. Bay: Well, I would still expect North America to be the main growth engine, but we are getting some traction with Canada. And internationally, outside Canada, it's very much project oriented. So if we get projects, yes, they will improve our return [ph]. If we don't, it won't. But the rest of the international market space is difficult to predict. So short answer to your question is we continue to expect the U.S. to be the main growth engine.
Brian Drab - William Blair & Company L.L.C., Research Division: Okay. And are there any projects in the pipeline that are of -- have unusual size, something that's over $100 million or over $200 million in size for 2014?
Mogens C. Bay: I'm sure there are projects in the pipeline that are more than $100 million. Whether they will be led as one project or in phases, we don't know. But if you look at the big utilities and what they have on the drawing board, they have sizable investment plan.
Brian Drab - William Blair & Company L.L.C., Research Division: All right. So when you talk about the growth that you expect in 2014, it sounds like you have a high level of confidence in that growth, and I'm just trying to get a -- I think all the analysts are trying to reconcile your expectation with the EIA and the EEI forecasts, which referred to substantial downturns in spending in this industry. And so I'm -- and I understand, when you do your buildup to your forecast, you'd look at the projects that you're expecting to hit and the probability that you'd win those projects. So I'm just trying to get a sense for how high is your level of confidence in growth and if there -- is there any big projects that you expect to -- that you have placed the probability on that's 50/50 or -- what -- are there any big projects out there that if you didn't win the project, could that significantly alter your forecast either way?
Mogens C. Bay: That was a long question.
Brian Drab - William Blair & Company L.L.C., Research Division: I know. I mean, I'm trying to get a sense for what -- I think that's the key question that all the analysts are struggling with, and you have the Street forecasting up 12% next year, and you need to average $280 million a quarter in this business. We're trying to get a sense for where you get that level of confidence in the face of industry downturn.
Mogens C. Bay: Well, so, let me take a crack at it. First of all, we -- I've told you over the last couple of years, as we add about $100 million in capacity per year, year-to-year complete comparison. We have had some opportunities this year that we couldn't take because we didn't have enough capacity in that particular time. We track lots and lots of utilities and lots and lots of projects. So is there one particular project that if we don't get it, we'll kill next year? The answer is no. It is a very -- we get a lot of big projects, but they are geographically spread out between customers and various parts of the U.S. geography. We have some strategic relationships with a number of utilities, so therefore, we have a higher comfort level with what we'll get. We understand the bid market pretty well, and we estimate what we will get on that. And when you put all that together, our expectation for next year -- and remember in Utility business, we have more visibility than in any other business we are in -- we see traction for another record year in the Utility business. Will the sales be up $100 million? I don't know yet, but I would estimate it will be up somewhere between $50 million and $100 million.
Operator: Your next question comes from the line of Brent Thielman from D.A. Davidson.
Brent Thielman - D.A. Davidson & Co., Research Division: Yes, Mogens, can you just highlight some of the reasons for the customer deferrals in Utility into Q4?
Mogens C. Bay: Some of these projects move. Maybe contractors aren't ready, maybe all the permits aren't ready, maybe the weather was bad where a particular line is going in. And we had about -- we had more than $10 million move from the third quarter to the fourth quarter that was ready to ship, and we'll ship probably in October.
Brent Thielman - D.A. Davidson & Co., Research Division: Got it. Okay. And then, I guess, just switching to Irrigation. Your competitor there went far as to say that, that did see lower U.S. sales next year. That you haven't yet commented yet on next year means we take from that you think there's still a chance the business could still potentially grow into 2014?
Mogens C. Bay: Well, everything is possible. But based on our experience, I would expect Irrigation sales next year to weaken a little bit compared to this year. But I saw the same thing last year this time, and 2013 turned out to be a record year. So one thing we've learned in that business is it's very difficult to predict. And even though commodity prices are down, net farm cash income is going to be very solid, yields are going to be up. So it's not just the commodity type and price, it's tied to the number of bushels that you harvest. And I -- and investing in irrigation equipment, if you have water, whether it's new development or if you can convert from less efficient irrigation, is a very good investment also at today's commodity prices. So I don't see a scenario where suddenly the bottom is falling out of Irrigation business but cyclicality has not gone out of agriculture. And if I had to put my money on it right now, I'd say it could be a small softening in next year, but I don't think it's going to be something very significant.
Operator: Your next question comes from the line of Brian Connors from Janney Montgomery Scott.
Brian Connors: A couple questions. First on -- expanding here on Irrigation a little bit, I think the conventional wisdom is that the international irrigation market will kind of buck the downtrend next year in -- that potentially could come in North America whatever the magnitude of that. I wondered if you could give us your take on that conventional wisdom and whether there might be a scenario where the opposite happens, and we actually find out that International is also susceptible to a downtrend in commodity prices and may grow faster over the long term but actually suffers as much or more in the short term as well. What's your take on where International could go?
Mogens C. Bay: Well, I could paint all kind of scenarios, but over the last few years, North America grew faster than International. International had a good growth year this year, and it is much more, of course, geographically diversified. And based on what we see today, I would expect our International business to grow next year. And we already talked about the North American side. So you say, can International really make up for any slowdown in North America? That all depends. International is not the same size as North America. So that I can't -- that question I can't answer, but I can tell you that currently, we expect that the international markets next year, in total, will grow. And Brian, if International could decline -- that's always possible -- if something happens politically or if the general economy worldwide makes people nervous, like we saw a few years ago, that can happen, but the way we look at it today and as we look at our strat plan and our annual operating plan for next year, we expect the International business to improve over this year.
Brian Connors: Okay. And then I wondered if you could expand a little bit on the Coatings outlook and to what extent do you think that that's correlated with your other businesses. And in particular, as the USS new capacity comes online, will that increase your utilization and drive positive operating leverage in the Coatings side as well?
Mogens C. Bay: The answer is it will increase our tonnage coming from internal customers, but it won't really -- the overall scheme of our global Coatings business, that won't really move the needle. I think our Coatings businesses, looking at it in today's environment, will have another year similar to this year. If we find acquisitions to improve that number like we did this year, that would be great. But I don't think we should plan on suddenly a further improvement in operating income percentages unless something happens in the marketplace that will give us that impression, and that's not the case today.
Operator: Your next question comes from the line of Schon William from BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: I wanted to talk a little bit about EIP here. Very good margins, I want to say, maybe record quarterly margins this cycle. Can you just talk about maybe where you see some of the internal initiatives driving that margin expansion, what type of level we could expect going forward? I mean, is this a business that can be a low-teens margin business? Just kind of help me frame the opportunity there.
Mogens C. Bay: Well, let me start with the last part of your question, can this be a low-teen business? Absolutely. I've said for the last several years, as the world has seen a pullback in public spending for various reason that this business probably couldn't get to 10% operating margin without some good help from the marketplace. I think they have achieved that without a lot of help from the marketplace. Yes, there had been pockets of improvements in Asia, in the wireless communication business in North America, but most of the improvement has really come from better productivity, taking out cost, downsizing our European footprint and kind of just saying really, it could be tough for a while, so let's be careful. So when we get more tailwinds in that market, I see that these businesses should be low- to mid-teens operating income. And short term, this is a cyclical -- this is a seasonal business, so first quarter is usually under more pressure. But otherwise, I would expect that business to continue to operate at about the level we have gotten it to now.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then I wondered if we could just talk about overall cost for the business, for the company. SG&A as a percentage of sales continues to run above last year's levels, and I know you've been investing in overseas expansion, but can you just talk about at what point do we see -- is there a period, as we move into 2014 or beyond, where we should start to see more leveraging of the SG&A cost, maybe just your thoughts there?
Mogens C. Bay: Well, in some of the business units, you've seen great levels of SG&A. In -- on the corporate side, we have been investing in more IT and other areas as we continue to expand our global footprint. But it would be my hope that, over time, we ought to be able to ring up some SG&A levels also at the corporate level. Cost, in general, we have -- steel has been kind of a friendly commodity this year. We have not seen much movement. We -- I think we have benefited slightly from that. Over time, the steel industry may take capacity out to firm up pricing, and I've always said that it's also important to us what steel pricing is. It's important that it doesn't get to where it's going very fast, so we have an opportunity to pass on and adjust our pricing. But currently, we don't see a lot of movement in commodity whether it's steel or natural gas or zinc. It's been stable.
Christopher Schon Williams - BB&T Capital Markets, Research Division: All right. Maybe I'll try and sneak in one more kind of housekeeping question. You've noticed -- you mentioned that tax rate may be a bit lower. Any guidance there on kind of what that rate may be going forward?
Mark C. Jaksich: Yes, this is Mark Jaksich. As those -- going forward, the effect of that U.K. tax rate reduction, at where we are today, maybe a couple of tenths on the overall rate, but it still should pretty much be in the range of where we've given prior guidance, 33%, 34% on a global basis.
Operator: Your next question comes from the line of Julian Mitchell from Crédit Suisse.
Charles Clarke - Crédit Suisse AG, Research Division: Mogens, it's Charlie for Julian. Just had a question with Utility. I mean, again, just the capacity issues, I mean, I know last quarter, in terms of volumes, it was pretty flat, but you got a nice tailwind from pricing and mix and also saw a nice tailwind from pricing/mix in the first quarter, and I assume you saw some of that into the third quarter. When you're talking capacity, I mean, obviously, we started to get the volume numbers versus the pricing and mix numbers. Are you assuming a flat pricing/mix environment into next year for $100 million? Or is it -- if pricing mix continues to kind of have that momentum, could it be a lot higher?
Mogens C. Bay: No, I think we're going to assume what we have seen now about that mix. I think some of the downward pressure maybe on revenue has a little bit to do with steel prices. Steel prices this year are slightly lower than they were last year, and I can't give you the exact effect of it. But we have benefited from good mix and generally favorable pricing, and I would not say that, when you look at next year, suddenly, we should change our forecast of the Utility business delivering somewhere between 15% and 20%, depending on the quarter and what projects go through.
Charles Clarke - Crédit Suisse AG, Research Division: And then for next year, obviously, we've seen lumpiness, obviously, and -- but part of that is capacity related. Should it be more balanced -- do you think, more balanced, there'll be less seasonality next year just kind of in the Utility business?
Mogens C. Bay: I wouldn't count on that. Projects can move from quarter to quarter. Wet weather can be an impact. I mean this is -- during installations, and if we have a couple of snowstorms, it can change when construction crews are ready for installation. So I would -- in that case, I would look more on a yearly basis.
Charles Clarke - Crédit Suisse AG, Research Division: And then lastly, I was wondering if -- are there any segments -- I mean, clearly, in Irrigation, it seems like a fairly consolidated market. Are there segments that you would rule out M&A?
Mogens C. Bay: No. Of our segments, no. All our segments are good cash generators. They all have access to capital for acquisitions, and the target is or the test is they have to show that they can beat our cost of capital. And we don't favor one segment over the other.
Charles Clarke - Crédit Suisse AG, Research Division: So you wouldn't say that the opportunities in -- I was just kind of thinking that in some of these businesses, it seems like your market share is fairly high, and so possibly -- obviously, you guys have a lot of cash to use, and I just was curious if you would ever add another leg to the company or if you think you're kind of too spread out at this point.
Mogens C. Bay: No, I don't think we are too spread out. And you know, our philosophy is that we would only acquire into adjacent spaces if we are comfortable knowing enough about either the market or the product line or the technology to be comfortable that we know what we're doing when we move in there. Could, eventually down the road, one of those adjacencies turn into another segment? Yes, that could happen. But in general, on acquisitions, if you look -- we don't favor one segment over the other, but the segment with the most diverse product line is EIP, so there may be more opportunities in those product lines and adjacencies to them that there, for instance, would be in Utility in North America, but then there could be opportunities in Utility internationally.
Operator: [Operator Instructions] Your next question comes from the line of Jon Braatz from Kansas City Capital.
Jonathan P. Braatz - Kansas City Capital Associates: Mogens, most of my questions have been answered, but 2 little questions. What kind of level of CapEx spending do you -- are you, I guess, anticipating for next year? And then secondly, in the Irrigation segment, assuming business is down a little bit or maybe even more than a little bit, what kind of ability do you have to reduce your cost structure in Irrigation -- in the Irrigation business?
Mogens C. Bay: To your first question, I think the capital expenditures next year, current outlook would be -- it'd be about at the same level as we have seen this year. When it comes to Irrigation, Irrigation got great levers on their way up, and they will get de-levers on their way down. We added some SG&A in Irrigation but really not a lot that we've made. We have added SG&A in connection with new initiatives when it gets to product development or market development, and I don't think, if Irrigation has a softening, that we're going to discontinue those initiatives. So I would not expect us to take a lot of costs out of Irrigation business if it softens a little bit.
Operator: Your next question comes from the line of Brent Thielman from D.A. Davidson.
Brent Thielman - D.A. Davidson & Co., Research Division: Mogens, just a follow-up. Your comments on improvement in Engineered Infrastructure Products for next year, I'm assuming you're building in some expectations for market growth. I mean, just kind of wondering where you see that potentially coming from.
Mogens C. Bay: We are actually not building in a lot of expectation for market growth in the 2 big areas like North America and in Europe. We have seen some better traction in wireless communication this year, and we are hoping that, that will continue into next year. But until we get more visibility in the form of, for instance, Highway Bill in North America that lasts more than a few months or a couple of years, I think that our focus is more going to be regional and figuring out what customers can we serve better and more profitably than maybe others. Asia Pacific, I think we're going to continue to see a good strength. I think I saw this morning where the Chinese economy grew 7.8% last quarter, which was a positive surprise, and you see some of that spills over into the rest of Southeast Asia. Australia is a big market for us. And in Australia, short term, there's been some softening as a result of the slowdown in mining industry. That has translated into a lower currency. And short term, of course, that would translate into lower earnings and revenue coming back to U.S. dollars. But long term, that's a plus for us because it makes Australian-based manufacturing more competitive compared to imports. So things move around geography by geography, year in and year out, but that's kind of a summary of how we look at it.
Operator: Your next question comes from the line of Nathan Jones from Stifel, Nicolaus.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Mogens, I just want to follow up on your outlook for CapEx next year. Are you intending to continue to add capacity in the Utility business in 2014?
Mogens C. Bay: No.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Can you then kind of color in for us a little bit what the uses of that CapEx are going into?
Mogens C. Bay: Well, I'll give you one example. This week, we broke ground on a new manufacturing facility in Argentina for Irrigation. That will take some capital. And then there's a lot of productivity improvement, capital. And it's not one big project, it will be a -- quite a number of smaller projects around the world.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: What do you consider to be your maintenance level of CapEx?
Mogens C. Bay: About $50 million.
Operator: [Operator Instructions] Your next question comes from the line of Arnie Ursaner from CJS Securities.
Arnold Ursaner - CJS Securities, Inc.: Mogens, on some international things, could you comment on the status of India and the 4G buildup -- 4G network buildup in China and how those are impacting your results?
Mogens C. Bay: Starting with India, we started up last year. We have a good-sized pole plant in Pune, and we have the largest galvanizing bath in India, also in Pune. Both facilities have started up well. I think we -- this year, we'll be close to breakeven in India in the first full year of operations, and we are pleased with that. So we continue to see a good traction in India, good volume. It's a small startup, so moving the needle for Valmont will be a long time, but I'm glad that we got a foothold in India. And I think, over time, it's going to be a good opportunity. Continuous wireless build-out in China, yes, it's happening. China is very competitive, but we have a very good market share in wireless communication poles. Our China business this year operated at better profitability than last year. Some of that is as a result of using a couple of the China plants for export, both back to the U.S. but also into other international markets.
Arnold Ursaner - CJS Securities, Inc.: Okay. My follow-up question relates again to your balance sheet as an offensive weapon. Can you give us a sense of the total pipeline of acquisition opportunities you're looking at? Is it in the hundreds of millions, $1 billion? What's the total? And again, remind us of how much flexibility you have to pursue these?
Mogens C. Bay: Well, in the pipeline today, and you know some of those are further accounted to buy than others, but we keep constantly an eye on companies that total up to being in the billions, not the hundreds of millions.
Operator: Your next question comes from the line of David Rose from Wedbush Securities.
David L. Rose - Wedbush Securities Inc., Research Division: Two quick ones. On the international pole side, it's relatively small, but I think in the second quarter conference call, you had noted that some projects were pushed out, and so I was assuming that they pushed out to the third quarter. Were they eliminated? Are they pushed out to the fourth quarter? And I know it's a lumpy business, but was there some of that impact that we saw push out? And I think you mentioned the domestic side.
Mogens C. Bay: I really don't recall a conversation about the push out. We had one project in -- I recall, in North Africa that was pushed out because of political unrest, but in general, it's not something that would move the needle. I would say that there was some nervousness over the last few years about what's going to happen in Europe. The European economy has gone through tough times, but our European pole business is actually having a very satisfactory year.
David L. Rose - Wedbush Securities Inc., Research Division: Okay, great. And then on the international front, you've mentioned the facility expansion in Argentina, and I was wondering what your expectations were in terms of growth in Brazil and Argentina for next year in 2015 on the Irrigation side, if maybe you can kind of paint us a little bit of the picture of what you're seeing in these markets.
Mogens C. Bay: Well, Brazil is a very strong market for us, and it -- Brazil is going to have a record year this year. The environment in Brazil, currently, is good. And when we look into next year, people are optimistic. I'm heading to Argentina, also Brazil, next week, so next -- in February, I'll tell you more about it. But Brazil is a great market for us. Argentina has always been a good market for us with very high market share. There have been severe restrictions on imports in -- last year and this year that has actually dropped the market size in Argentina. And there's a push for more local manufacturing, and we're reacting to that because we feel that Argentina -- agriculture in Argentina provides a substantial opportunity for us going forward, and that's why we are making the investment.
David L. Rose - Wedbush Securities Inc., Research Division: And the plant will be operational to serve that market by when?
Mogens C. Bay: If I answer it specifically, I'll tell you more than I know, but I would guess by second half of next year.
Jeffrey Laudin: Do we have any more questions?
Operator: No sir, there are no further questions. I'll turn the call back over to you.
Jeffrey Laudin: This concludes our call, and we thank you for joining us today. This message will be available for playback on the Internet or by phone for the next week. We look forward to speaking to you again next quarter. And at this time, Jody will read our forward-looking disclosure.